Operator: Welcome to Charles River Associates' First Quarter Fiscal 2015 Conference Call. Today's call is being recorded. Today's news release and prepared remarks from the company's Chief Financial Officer are posted on the investor relations section of CRA's website. With us today are CRA's President and Chief Executive Officer, Mr. Paul Maleh and Chief Financial Officer, Mr. Chad Holmes. At this time, I would like to turn the call over to Mr. Holmes for opening remarks. Please go ahead, sir.
Chad Holmes: Thank you, Manny. I would like to remind everyone that the statements made during this conference call concerning the future business, operating results and financial condition of the company, including those identified in our earnings release and statements regarding guidance or the use of the terms focus, expect, anticipate, believe and similar terms, are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management's current expectations and is inherently uncertain and the actual performance and results may differ materially from those expressed or implied in these statements, due to many important factors. Additional information regarding these factors is included in today's earnings release and in the company's periodic reports with the SEC. The company undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures on this call, including adjusted EBITDA and certain measures presented on a constant-currency basis. Everyone is encouraged to refer to today's earnings release for a full reconciliation of these non-GAAP items to their GAAP equivalents, as well as the calculation of adjusted EBITDA based on GAAP and non-GAAP results and a description of the process for calculating the measures presented on a constant-currency basis. Let me now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks, Chad and good morning, everyone. CRA delivered excellent results for the first quarter of fiscal 2015, growing revenue and increasing utilization and headcount during the year. Year-over-year performance highlights are as follows. Non-GAAP revenue for the first quarter of fiscal 2015 increased to $77.2 million. Non-GAAP net income for the first quarter of fiscal 2015 was $3.5 million or $0.37 per diluted share. Non-GAAP adjusted EBITDA for the first quarter of fiscal 2015 was $12.4 million or 16.1% of revenue. On a constant-currency basis relative to Q1 of fiscal 2014, our financial performance would have been even stronger. Non-GAAP net revenue would have increased by approximately $1.8 million to approximately $79 million. Non-GAAP net income would have increased by approximately $200,000 to $3.7 million or by approximately $0.02 to $0.39 per diluted share. Non-GAAP adjusted EBITDA would have grown to approximately $12.9 million or 16.3% of revenue. In the quarter, CRA's strategy to generate broad-based profitable growth continued to be successful with litigation and regulatory, as well as management consulting, experiencing year-over-year growth. Within litigation and regulatory, our antitrust and competition economics practice had an outstanding quarter, driven by numerous projects involving both M&A and antitrust matters. For example, CRA economists assisted Trulia through a review by the U.S. Federal Trade Commission of its $2.5 billion merger with Zillow. We analyzed whether the merger would have reduced the incentive to attract home shoppers to the Zillow and Trulia websites and whether it would create upward pricing pressure on the rates charged to real estate agents who purchased advertising on Zillow and Trulia. The merger was completed during the first quarter. In addition to our strong merger-related activity, we worked on a number of large litigation and antitrust matters, areas where CRA plays a leading role as well. During the first quarter, we advised on an antitrust case involving News America Marketing, a division of News Corp. and a provider of in-store advertising to consumer product goods manufacturers. We looked at whether its contracts with retailers have excluded competitors. We worked on the class certification phase of the case and have also been evaluating the liability issues in the merit space. The demand for our consultants' expertise is also exemplified by recent recognition they received. Earlier this month, CRA and its consultants received top honors at the Global Competition Review awards, including for the Matter of the Year and at the 2015 Antitrust Writing Awards, where Vice President Sean Durkin and Senior Consultant to CRA Fiona Scott Morton and Carl Shapiro were recognized with awards. Papers authored by other CRA colleagues were also shortlisted for awards. Our finance practice also had a great first quarter and delivered solid year-over-year revenue improvement. Project work involved analysis on a range of issues, including alleged price fixing, as well as spoofing of trades and market manipulation in the commodity markets. Growth within management consulting during the first quarter was led by our life sciences practice and its ability to capitalize on areas of expansion during the past year. In particular in 2014, we welcomed two senior-level consultants in Germany whose scientific and clinical knowledge, an increasingly valuable capability for consulting in life sciences, rounded out areas where we have been looking to expand our international expertise. The team is exceeding our expectations and helping our life sciences practice drive profitable growth. We're increasing our earn out expectations for this group as a result of this success which Chad will go over in more detail later in our call. Within Marakon, we continue to be pleased with the senior-level management consultants we welcomed in 2014, who are playing a key role in building a comprehensive financial services offering. We continue to focus on investing in and growing select core sectors in Marakon. Project lead flow across the organization remains strong as we continue to be presented with our clients' most important business challenges. Our professionals are converting these opportunities into revenue-generating projects at a solid rate. This resulted in as healthy a project backlog as we have seen in the past few years. We affirm our previously announced fiscal 2015 guidance for non-GAAP revenue of $312 million to $320 million and non-GAAP adjusted EBITDA margin of 16.3% to 16.7%. While we're encouraged by the overall health of the Firm, we're also mindful that uncertainties around global economic conditions and foreign-exchange rate fluctuations can affect our business. With that, I will turn the call over to Chad for the CFO remarks.
Chad Holmes: Thanks, Paul. As a reminder, a more detailed report of my remarks on the financial results can be found on the investor relations section of our website. Right now, I will cover a few key metrics. First quarter non-GAAP gross profit as a percent of revenue increased to 31.8% in fiscal 2015 from 31.4% a year ago. First quarter non-GAAP selling, general and administrative expenses as a percent of revenue, excluding commissions to our nonemployee experts, was 19.0% in Q1 fiscal 2015 compared with 18.8% a year ago. In terms of headcount, we ended the first quarter with 461 consulting staff which consisted of 354 senior staff and 107 junior staff. This is a net increase of 10 consultants from the 451 we reported at the end of Q4 of fiscal 2014. While this growth in headcount was not as high as we would have liked during the first quarter, our candidate pipeline is strong and we continue to be active in the recruiting market. As Paul mentioned, the performance of the life sciences team in Germany has exceeded our plan. This success has led to a revision of our estimated future contingent consideration payments associated with the acquisition of this team, resulting in a $800,000 charge in this current quarter. The effective tax rate for the first quarter of fiscal 2015 on a non-GAAP basis was 32.7%, compared with 36.4% for the first quarter of fiscal 2014, reflecting the geographical mix of our earnings. Turning to the balance sheet, our DSO at the end of the first quarter was 100 days, consisting of 62 days of billed and 38 days of unbilled. In terms of our cash position, we concluded the first quarter of fiscal 2015 with approximately $17.2 million of cash and cash equivalents. Q1 is typically a period of lower cash levels as bonus outlays for the Firm occur during this time. We also continued our practice of redeploying cash both into the business operations and towards the repurchase of equity. During the first quarter, we purchased approximately 145,000 shares of our common stock for a total of approximately $4.5 million. Furthermore, as we announced on our Q4 earnings call in February, our Boston and Washington, DC, offices are currently undergoing renovations to create a more efficient and welcoming workplace. The related cash outlays totaled approximately $2 million in Quarter 1, with further expenditures expected to continue throughout fiscal 2015. As we discussed in our prior earnings call, we anticipate total expenditures for these locations to be approximately $12 million, net of tenant improvement allowances, in fiscal 2015. That concludes our prepared remarks. Manny, we would now like to open up the call for questions.
Operator: [Operator Instructions]. Our first question is from David Gold of Sidoti. Please go ahead.
David Gold: I just wanted to follow up a little bit on the commentary on headcount and I guess the commentary we have had the last couple of quarters. So, some pickup there. I think you said not as much as you'd like. And I guess we have been talking for some time about adding 5% to headcount, I think, from as long ago as third quarter. So just wanted to get some color there on both hiring plans from here on out, but also what is getting in the way of hiring as aggressively as you would like to? Is it lack of talent or is it -- are you having -- basically, has pricing gone up for the heads that you would like to hire a lot? What are some of those factors?
Paul Maleh: First of all, it's not the pricing that is prohibiting us from getting the talent. We begin with the highest standards of the people we're recruiting into this organization, so it always begins with the supply that we're seeing in the marketplace. We're seeing the markets tightening for labor overall, particularly when you're talking about the best and brightest in the industry. We're going to continue to focus on hiring the right people into this organization, so the pipeline is full. We're going to be active. We're not backing away from the headcount growth targets we've set and growth beyond those levels. We clearly see that demand for our services are strong enough to support those headcount growth rates and even beyond that. So we're going to be active in the marketplace for hiring at all levels of the organization. Anyone listening to the call, from the analysts all the way to the VP, we're on a nice run with great trajectory for our business and we're looking to expand.
David Gold: Okay and, Paul, do you want to give some comment as to -- in a perfect world, what you would add by way of headcount this year, an update there?
Paul Maleh: I think when we spoke about the revenue guidance range, that was for the full year, so if you think about headcount relative to that, given the fact headcount is not going to begin at this organization on January 1 or the first day of the fiscal year, that means your headcount growth for the year has to -- your targeted headcount growth has to exceed your desired revenue growth. So, I think it's safe to assume that our targeted headcount growth goes beyond the growth rate implied by our revenue guidance range.
David Gold: And then, one other. I guess it's been a little mixed in tracking M&A for the first quarter of this year. I am curious if you could give some commentary there as to your -- I think your broad commentary was your pipelines have not been this strong or have maybe never been this strong. But curious as to what you are seeing out there and your confidence in sustainability of this level of activity.
Paul Maleh: Yes, let me first clarify on the statement I made. If I misspoke, I apologize. When I talked about it never has been this strong, it's the project backlog or the project inventory that we currently see in this organization. So that means we're seeing opportunities at an ever-increasing rate and we're converting them at a healthy enough clip to give us some backlog on revenue-generating projects. The M&A marketplace for which we service has remained solid. Q1 wasn't off the charts, but consistent with the past few quarters. But as I mentioned during the Q4 call and other previous calls, our antitrust and competition economics practice is, I believe, gaining share. It is hard to measure that, but we're getting involved on all prominent matters, playing significant roles on those engagements. So we haven't seen a lot of fluctuations in that business line over the past two years. They are consistently growing and consistently expanding those services. All conditions for a healthy M&A market, we believe, still exist. Yes, there may be some uncertainty because of the foreign-exchange markets and volatility in international operations, but we have not seen anything to indicate a real shift in that marketplace.
Operator: [Operator Instructions]. The next question is from Tim McHugh of William Blair. Please go ahead.
Tim McHugh: I wanted to ask a little bit of a follow-up, a different angle on the competition for talent and recruiting question, I guess. Can you break that down or is there any difference as you think about areas of the business? Where have you been more successful or less successful adding to the ranks and where is it harder or easier at this point?
Paul Maleh: I think where it's harder is anytime you are trying to recruit in the secondary marketplace, it is always harder to get the pipeline full enough to where your filters are going to end up producing an adequate number of candidates. So we have been able to add some very significant contributors in the management consulting space during 2014 and now are working diligently to try to build out those offerings with staff. So there, the mix of people that we're adding really has to be a mix of professionals, both from the universities and also on the secondary market. We're doing just fine on the university level, but it is the secondary market that is a little slower to process on it. With respect to the areas of the organization that those are focused on, I think it is really three main areas, that being antitrust; competition economics, I think, would love to have more staff. They really are doing everything they can to meet the current demand, so that's clearly an area for growth. Our life sciences practice is having a terrific start to 2015, following up on their 2014 performance, so we're looking to add there. And Marakon which I was referencing, with the secondary buildout of that practice.
Tim McHugh: Okay and maybe a somewhat different question. Just the bill rate environment or the pricing environment for the work, what is your latest thinking there? Are you able to get solid bill rate increases and what is the pushback level from clients right now?
Paul Maleh: I believe, as we talked about on the last call, we had put through bill rates of 2% to 4%. Early indications are that those rate increases across the organizations are sticking, so we believe that we will realize bill rates of that magnitude as we progress through the year. We're not getting as much pushback on the rate itself, but there is definitely cost consciousness across our clients as to the aggregate cost of the products and services being offered.
Tim McHugh: And then, maybe one numbers question. The tax rate, it was -- I guess, what's a reasonable number for the year? I guess you said it was just a mix of earnings, but how should we think about an annual rate?
Paul Maleh: I think the annual rate, you start with when you look at North America which is the majority of our operations are there, you are always going to start at a rate right around 40%. And the lower tax rates really have to do with the fact that our international operations, even with the downward pressure associated with the foreign exchange, are delivering profits and we expect them to deliver profits in the future and that is what is really driving down the tax rate. You know, we would take 32.7% of a tax rate any day, but it is probably safer to assume a tax rate in the high 30%s for the whole year -- for the remainder of the year.
Operator: Thank you. We have no further questions at this time. I would like to turn the floor back over to management for any closing remarks.
Paul Maleh: Again, thank you to everyone for joining us today. As always, we appreciate your time and interest in CRA. We will be getting out meeting with investors in the coming months and we look forward to updating you on our progress next quarter. That concludes today's call. Thank you, everyone.